Operator: Welcome to the W&T Offshore third quarter Earnings Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions). As a reminder, this conference is being recorded today on Tuesday, the 4th of November 2008. I'll now turn the conference over to Mr. Manny Mondragon, Vice President of Finance. Please go ahead, sir.
Manny Mondragon: Thank you, Operator, and good morning everyone. We appreciate you joining us for W&T Offshore's conference call to review the third quarter 2008 results. Before I turn the call over, I have a few items to go over. If you would like to be on the company's e-mail distribution list and to receive future news releases or you experienced a technical problem and didn't receive yours this morning, please call DRG&E's office at 713-529-6600 and somebody will be glad to help you. If you wish to listen to a replay of today's call, it will be available in a few hours via webcast or via recorded replay, until November 11, 2008. You can also find the access instructions in today's press release. Information recorded on this call speaks only as of today, November 4, 2008, and therefore, time-sensitive information may no longer be accurate as of the date of any replay. Today management is going to discuss certain topics that contain forward-looking information, which is based on management's beliefs, as well as assumptions made by and information currently available to management. Forward-looking information includes statements regarding expected production and expenses for 2008 and 2009. Although management believes that the expectations reflected in such forward-looking statements are reasonable, they can give no assurance that such expectations will prove to be correct. Such statements are subject to certain risks, uncertainties, and assumptions, which are described in this morning's press release and the company's most recent annual report on Form 10-K and subsequent filings with the Securities and Exchange Commission. Should one or more of these risks materialize, or should underlying assumptions prove incorrect, actual results may vary materially from those expected. Please also note that this conference call contains references to non-GAAP financial measures. You can find reconciliations of these non-GAAP financial measures to GAAP financial measures in the Form 8-K filed by the company earlier today, as well as in this morning's press release. Now, I would like to turn the call over to Mr. Tracy Krohn.
Tracy Krohn: Thanks, Manny, and good morning everyone. I would like to thank you all for joining us for our third quarter 2008 conference call. Again, I'm Tracy Krohn, this morning; I will review key events that took place in the third quarter of 2008. With me today are Danny Gibbons, our Chief Financial Officer, Danny is going to review the company's liquidity and capital resources; Steve Schroeder, our Chief Operating Officer, Steve is going to talk to about our operations; and Jeff Durrant, our Senior VP of Exploration and Geoscience will update you on our 2008 drilling successes and preview next quarter's drilling plans. Also in the room today is Jamie Vazquez, our newly appointed President. Jamie is taking over the position of President. I will maintain the role of Chairman and CEO. Jamie is going to be focused on the day-to-day business, which includes the budgeting process, and all the other aspects of daily operations. That's going to allow me to focus on strategy and drilling areas that I have extensive background in and that I like doing. Following our formal presentation, we will also have a Q&A session. Talk a little bit about earnings per share and EBITDA. As this morning's press release stated, we had earnings per share, EPS of $1.03. Our adjusted EPS of $0.79 was an increase of 49% over third quarter 2007 adjusted EPS. Primary driver for the differences in EPS and adjusted EPS was a large unrealized derivative gains we recorded in the third quarter as a result of the sharp drop in commodity prices towards the end of the quarter. Third quarter EBITDA was $236 million and adjusted EBITDA was $208 million, again the difference being the unrealized derivative gains. Let's address the current production and hurricane update. As you are aware, the company incurred some damage as a result of Hurricanes Gustav and Ike. After preliminary assessment of the damage and the cost to repair or build some of the structures, we've elected to de-book approximately 4 bcf equivalent, or less than 1% of proven reserves, which an immaterial amount with regard to the total reserve picture. We're currently producing 8800 barrels of oil per day and 106 million cubic feet of gas per day, or a 159 million cubic feet equivalent per day and we produced about a 120 million cubic feet a day for the month of October. About two-thirds of our current daily production is natural gas. Addressing insurance a little bit further. As far as insurance is concerned, we have retention of $10 million that must be satisfied before we are indemnified for losses. Our policy limits are a $150 million for property damage due to named windstorms, and $250 million for removal of wreckage if mandated by any governmental authority. Lastly, addressing drilling a little bit. During the third quarter despite two hurricanes, we drilled six wells; three successful conventional shelf wells and one deep shelf well. We had a noncommercial well on the conventional shelf and one on the deep shelf. Through the third quarter, we are 14 for 18 in our exploration program and 2 for 2 with our development program for an overall success rate of 80%. Since the end of the quarter, we successfully drilled one additional conventional shelf well and one deep shelf well, upping our overall success rate to 82%. And with that, I'll turn it over to Danny Gibbons to expand further on our financial position.
Danny Gibbons: Thank you, Tracy. Instead of focusing on information that you've already received, seen in this morning's press release, I want to concentrate a minute on liquidity. At September 30, 2008, we had positive working capital of $282.1 million, which includes a cash balance of 685.3 million. Working capital decreased $54.7 million from June 30, 2008 due to higher capital expenditures and decreased cash flow associated with decreased production volumes resulting from the hurricanes. At September 30, 2008, our current maturities of long-term debt totaled $3 million, and we have $500 million of undrawn capacity available under the revolving portion of the credit agreement. Total assets were over $3.5 billion, and total debt was $654 million. Our debt-to-total book capitalization ratio stood at 31%, but our net debt-to-book capitalization ratio was actually less than zero. Our adjusted EBITDA-to-interest coverage was over 21 times interest expense. Our primary liquidity needs are to fund capital expenditures to allow us to replace oil and natural gas reserves. We pay outstanding borrowings and make related interest payments and to fund strategic property acquisitions. Historically, we have funded our capital expenditures including acquisitions with cash on hand, cash provided by operations, equity offerings, borrowings under the credit agreement and other long-term debt. These sources of liquidity have historically been sufficient to fund our ongoing cash requirements. Although there have been significant disruptions in the US and global capital markets, our company has prepared for these disruptions and is in a positive liquidity position. The company has historically been able to drill and develop properties and still generated excess cash and we believe we will be continue to be able to do so going forward. We believe that our customers remain creditworthy, and we have continued to pay their bills as they become due. We have a significant amount of cash on hand, and $500 million of capacity available under our revolving loan facility that matures in 2012. Effective October 24, 2008, our borrowing base is reaffirmed, allowing for continuation of our revolver at the $500 million level. 16 lenders participated in our revolving loan facility, and we do not anticipate any of them being unable to satisfy their obligations under the credit agreement. We have traditionally utilized bank financing as our foundation for financial success, and we believe that this credit lines will serve us well in this cycle. And with that, I'll turn the call over to Steve Schroeder. Steve?
Steve Schroeder: Thanks, Danny. Let me start with an update on the effect of the storms on production and our remediation status. As of September 30, 2008, we have expensed $1.3 million toward the retention and expect to expense the remaining $8. 7 million in the fourth quarter to meet our $10 million retention for Hurricane Ike. We also realized $0.5 million of expenses for Hurricane Gustav but will not meet the $10 million retention for that storm. At this time, we are still assessing the damage and are estimating the full cost of repairs. As Tracy and Danny have mentioned though, we have sufficient insurance and liquidity to satisfy our needs. As Tracy said, we are currently producing approximately 159 million cubic feet equivalent per day. Now, let me give you some details related to production and what we currently believe are the leading factors for our buildup and production through the fourth quarter 2008 and into 2009. First, we have been in close contact with the pipeline companies and the operators of our jointly owned damaged platforms. We have approximately 55 million cubic feet equivalent per day of production deferred as a result of damage to gas pipelines, primarily HIOS, Sea Robin, ANR and Discovery. We have two major production facilities, East Cameron 321 and Ship Shoal 154, where both the oil and gas pipelines are under repair. At East Cameron 321, the damaged gas pipeline is the TETCO western lateral, and the damaged oil export line has portions operated by Marathon and Exxon. The other facility is Ship Shoal 154 where the gas pipeline shut in is the Tennessee 500 system and the oil pipeline is White Cap. In total, production deferred for platforms having damage to both oil and gas pipelines is 30 million cubic feet equivalent per day, of which the above two fields comprised approximately 90%. In addition, the production deferred due to platforms where the damage is solely in the oil export line is approximately 20 million cubic feet equivalent per day. About 12 million cubic feet equivalent per day of our production is offline due to repairs needed on structures or wells, in which we have an ownership, but the majority of this deferred production is non-operated. Relative to onshore facilities, the Stingray gas plant was damaged and approximately 9 million cubic feet equivalent per day is currently offline until this plant becomes operational. The total production offline due to toppled platforms is approximately 7 million cubic feet equivalent per day. The remaining production offline is due to various reasons, each being resolved as fast as possible. As the repairs are completed on these pipelines and facilities, we will build up production accordingly. Let me be clear that this only explains the effect on W&T's production for these pipelines and facilities and we cannot speak as to the effects of other operators’ production on these systems. Next, our buildup will depend on production additions from our drilling program. As we've mentioned in this and previous calls, we have been activity with the drill-bit. Some of the successes we have had throughout the year and recently announced are not online yet. We have four wells there in the completion phase that should provide some production before year-end. This production will be incremental to the production that will return following hurricane repairs. Lastly, our production will be a function of the natural decline of the wells that are still producing. We will need to replace our natural decline before we return to and exceed pre-storm levels of production. The best way to do this will be with new volume additions from drill-bit, workovers, recompletes and acquisitions, and with the speed of repair work which we and others are working diligently to do. Operationally, we have eight active rigs at this time, six operated and two non-operated. We averaged eight rigs during the third quarter, and anticipate this level of activity to continue through the remainder of the year and into 2009. We did lose approximately 25 drilling days per rig during the Hurricanes Ike and Gustav. Even with these delays, we feel we can drill or be drilling 30 wells for 2008. Now let me update you on some of our larger projects. At Green Canyon 646, our Daniel Boone project, we are in full development stage. The well has been completed, and we have set the subsea tree. Additional materials and equipment have been ordered, and is manufactured and the pipe has been shipped. Production is expected in the second half of 2009. We did not experience any delays to this project due to the storm. I can report that we are on time and on budget at Daniel Boone. At Green Canyon 82, the Healy project, our deepwater team is currently reviewing different options and doing the necessary flow assurances and economics. Once these are complete, we will be in a position to make a decision on how about to develop this field. During the third quarter, we produced 19.9 billion cubic feet equivalent, down from the second quarter due to the hurricanes. We believe we deferred approximately 8 billion cubic feet equivalent in the third quarter. We also believe we would have hit the midpoint of our original guidance had it not been for the hurricanes. In the fourth quarter, we anticipate production between 800,000 and 1 million barrels of oil and natural gas liquids, and between 8.1 and 9.6 billion cubic feet of natural gas for a total of between 12.9 and 15.6 billion cubic feet of natural gas equivalent. As a result of the hurricanes, we are revising our full year guidance downward to a range of 94.6 to 97.2 billion cubic feet equivalent. Relative to LOE, the LOE for the third quarter were $52.4 million, approximately $8 million below the original midpoint of guidance. Base LOE was $3 million, lower than expected and workovers and facility expenses were $5 million lower due to downtime from the storms. Looking to the fourth quarter, lease operating expenses are expected to be between $59 million and $69 million. The basic expenses stay relatively constant while workovers and facility expense decreased due to hurricane downtime and a focus on remediation. This decrease is offset by the hurricane expense of $8.7 million that we expect to incur in the fourth quarter. Also, let me point out that the absolute amount spent on LOE won't change much; however, production will be lower. So the LOE per Mcfe number for the fourth quarter will be higher, but we anticipate it returning to normal levels in 2009. LOE for the full year is now expected to be between $217 million and $227 million which includes the $10 million insurance retention. Gathering, transportation, and taxes were $4 million below the midpoint of the original guidance, mostly due to lower volumes and lower commodity prices. Gathering, transportation, and taxes are expected to be between $6 million and $8 million for the fourth quarter and between $29 million and $31 million for the full year. Now I'll turn the call over to Jeff Durrant to discuss our third quarter exploration successes and future drilling plans.
Jeff Durrant: Thanks, Steve, and good morning, everyone. As Tracy and Steve have just discussed, we continue to enjoy drilling success in 2008. Despite losing approximately a month of drilling time, W&T completed drilling six wells during the quarter, four of which were successful. Of the five exploration wells we drilled, three were successful, including one deep shelf well. For all of 2008 through the end of the third quarter, we've achieved an excellent success rate of 78%, with completions taken or planned in 14 out of 18 wells. Both of our development wells this year have also been successful, including one this quarter, which makes our drilling program 16 out of 20, for an overall 80% success rate through the third quarter. But more importantly, however, the production from these wells continues to build. Combined, these wells are currently capable of producing at a net rate of 4400 barrels of oil per day, about 28 million cubic feet of gas per day, or around 24 million cubic feet equivalent per day, net to W&T. Approximately 50% or 25 million a day is still shut in from the recent hurricanes. Of the 13 wells producing or capable of producing, seven are from former Kerr-McGee properties. Now, let's take a look at the specifics of our third quarter conventional shelf drill program. The Main Pass area yielded to highly successful wells, the 75% working interest Main Pass 283 A-1 sidetrack and the 75% working interest Main Pass 108 D-3. Main pass 283 well found 30 feet of gas/condensate in the secondary target and is now producing on a gross rate of 7.6 million cubic feet of gas per day, along with 500 barrels of oil per day for a net rate of 6.7 million cubic feet equivalent per day, net to W&T. This well was the first of the proposed four to five well drilling program from the Main Pass 233 A platform. The other Main Pass area success, the D-3 well is currently being completed and we expect this well to be online shortly. Our third successful well that is also online is a 100% W&T working interest South Timbalier 230 A-7 sidetrack development well. This well has been completed and is flowing at a gross rate of just under 800 barrels of oil per day or about 4. 3 million cubic feet equivalent per day, net to W&T. As I reported on the last call, our only third quarter conventional shelf uneconomic well was at Main Pass 266 A-5. Turning over to the deep shelf program, we are 1 for 2. We've successfully drilled the 90% working interest Ship Shoal 232 B-2 sidetrack to a depth of 17,000 feet. We discovered approximately 8 feet of laminated gas sands in two intervals. This well is currently being completed with first production expected as soon as hurricane repairs to the pipelines have been completed. In our other deep shelf well, we drill an uneconomic well at 90% working interest Viosca Knoll 519 #1. This was a James Lime well. This well has been plugged and abandoned for a total financial exposure of approximately $12. 9 million. What's next in our deep shelf program? We started the four quarter off with the deep shelf success at the 100% working interest Eugene Island 186 #1. We found about 25 feet of gas sand in the [Texas section], and our plans are to complete this well and test it in order to prepare a development plan. Additionally, right now we are drilling another deep shelf well, a 94% working interest B-7 well in [Brunei 225]. This well has a 15,000 foot objective beneath the salt overhang. In still another deep shelf well, we expect to begin drilling before the end of the year on a sub-salt development well, and a 100% working interest Mahogany at Ship Shoal 349 A-12 sidetrack. This was planned to drill the field's main oil reservoir and that deepened approximately a 1000 feet to explore for additional potential. You may have seen in our recent presentations, we're planning a second deeper well to test the same geological structural closure, but to a much deeper depth, about 25,000 feet. This well is designed to test the highly perspective upper and middle Miocene section that has yielded numerous recent oil and gas discoveries in France, such as Torrential and then on into the Green Canyon deepwater province. It's true that the deep shelf may provide exposure to significant upsides, but it doesn't mean we've forgotten about the conventional shelf. In fact, it is still the core of our drilling program. As such, we expect to continue our current Main Pass drilling programs in 283, 279, and 108 well into 2009. Additionally, we plan to continue our platform drilling program at Ewing Bank 910, also well into 2009, as well as a new platform drilling program at South Timbalier 316. I think as you've already seen with the significant rate buildup from this year's drilling program, drilling exploration wells from existing infrastructure provides for timely production and a quick return on our investments. With that, I'll turn it back to you, Tracy.
Tracy Krohn: Thanks, Jeff. We expect to be very busy in the acquisition area. We've taken great care to manage our liquidity and operate within our cash flow for years. We note from experience that managing for cash has always been our strength. As the world liquidity crisis has deepened, we've been looking very closely at all of our options including acquisition, M&A and drilling. The operative part of that previous statement is that we do have options. How cool is that? Really cool part of that is we can move very quickly on any of those options or change those options very quickly as well. If it makes more economic sense to acquire, we will do so. If it makes more sense to grow through the drill-bit, we'll do that. We still continue to manage for cash and you can spell that opportunity. With that, that concludes our prepared remarks and we're ready to take your questions. Operator, please open the phone lines for Q&A.
Operator: (Operator Instructions) Our first question comes from the line of Neal Dingmann with Dahlman Rose. Please go ahead
Neal Dingmann - Dahlman Rose: Good morning.
Tracy Krohn: Good morning, Neal.
Neal Dingmann - Dahlman Rose: Hi, Tracy, just wondering with the great liquidity position that you all have and nice cash that you have, what do you look as far as opportunities go, number one, paying debt down, are you comfortable there versus looking at additional leases versus looking at acquisition, just wondering how you balance all that?
Tracy Krohn: The last list would be paying debt down right now. I think we have got a very comfortable level of debt. It is long- term, for the most part, and we feel like there are opportunities in acquisitions and drilling, it does not necessarily mean that we just do acquisitions. It could also mean M&A. It could also mean that we find a bunch of other wells that we think that our prospects that we think deserve being drilled. We expect to see some deflationary pressure on rig rates and bulk rates and whatnot that will drive the cost of goods and services, at lease operating expenses down in the future.
Neal Dingmann - Dahlman Rose: Okay. Then the change here in the near-term, you can say politically, does that give you any concern as far as the changes potentially as far as holding leases and just what is going on in the gulf?
Tracy Krohn: No, I do not think so. Whatever the political landscape is going to be, we will deal with it accordingly as we always have.
Neal Dingmann - Dahlman Rose: Okay. Thanks.
Operator: We will take our next question from the line of Phil McPherson with Global Hunter Securities. Please go ahead.
Phil McPherson - Global Hunter Securities: Hi, good morning. Congrats on a great quarter, considering the difficult situation out in the Gulf. Hey, Tracy, if I do back-of-the-envelope math, are we looking at exiting the year at pretty close to 700 Bs, and I get to that by taking your unrisked pre-drill estimates on the deep shelf of 115 Bs, and you went 2 for 3, so is about 75 Bs. Is that the way to think of it?
Tracy Krohn: I do not know how to think of looking at our reserves at this point in time. I am not going to respond to that. We still got some wells to drill before the end of the year.
Phil McPherson - Global Hunter Securities: Is my assumptions on the deep shelf wells in a ballpark range or?
Tracy Krohn: I do not know.
Phil McPherson - Global Hunter Securities: Okay. One question for Danny on the financial side. It looked like your payables had jumped up pretty high in this quarter, so your net cash position looks like it is actually like 445? Is there something there reason your payables were higher than previous quarters there?
Danny Gibbons: As I pointed out, working capital decreased about $55 million between June and September. We were doing a lot of projects and accruing for the capital expenditures and we saw some of that get paid off in the months of October, so it was just accruals for capital projects.
Phil McPherson - Global Hunter Securities: Great. I will let somebody else get on and I will queue back in. Thanks.
Operator: (Operator Instructions) Noel Parks with Ladenburg Thalmann & Co. Please go ahead with your question.
Noel Parks - Ladenburg Thalmann & Co.: Good morning.
Tracy Krohn: Good morning, Noel.
Noel Parks - Ladenburg Thalmann & Co.: I just wanted to get a sense the guidance as you look into the rest of the year and then maybe in the first quarter of '09. Being in the situation again which is typical after a hurricane where you have infrastructure that needs to come back online and damage repaired. I mean how much variability would you say there is as you assess the timing of, when things are going to come online and when are you going to be able to get recent successes online? I mean do you think it is very difficult to say exactly when things are going to come back? Or do you feel like you have a good handle on the timing?
Tracy Krohn: No, it is really hard to give you a definitive answer on that. I will qualify that by telling you that as we move further into the remainder of the year, we will get better information and I will give you an example of that. We had one pipeline that was down, a gas pipeline that is adjacent to our Ship Shoal 349 Field and we were told it was going to be down for some period of time. We looked into it a little bit further, and realized that the operator of the pipeline just simply did not have a boat available for saturation dive. We had one on hand that we could utilize and we were able to work with them to get the pipeline on production much quicker. In fact it is online now; so it accelerated that by a couple of months. I do not know if that exists elsewhere. We have another field that apparently has a valve that needs to be shut, again similar situation with the operator and we are working to resolve that. My sense is that the production, the vast majority of it will be back online before the end of the year, barring anything that we may not be aware of at this point in time. I think that as we sit now, we are fairly comfortable that 2009 will look much better than 2008.
Noel Parks - Ladenburg Thalmann & Co.: Okay, great. Maybe you would talk a little bit more about at Mahogany; I understand that I think it was early next year you thought you would be able to have that deeper test out there. Just maybe a little bit more about timing, and also you mentioned that the torrential find is on trend, and any other thoughts you had about how bad it impacts your view of the risking or the geology there?
Tracy Krohn: I will give you a little flavor on that. Actually, it may have been a little bit confusing. We have got a rig, actually the Gorilla IV that will be on location shortly. It is finishing up the Blackbeard well there, and then it will come to our location. We have got a well, the A-12 sidetrack to drill. That is actually a PUD location with a deeper extension that is exploratory for another block in the field. We are going to drill about another thousand feet deeper there. So, that is the first thing that we are going to do at Mahogany. The 25000-foot well is s scheduled, or as soon as we can get all of the design done or we have not yet completed the design. We have been telling the market second half of 2009 that will be a function of, again, how quickly we can get equipment to drill this well. We have just now chosen a target depth, so now we are working from a target depth of 25,000 feet, we are considering up to 30,000 feet, but we have decided to back off of that just a bit. So now we are planning on that, and we will have some more information on that as soon as I get a little better handle on what the exactly our planning is, and I will be looking at that personally. So, I hope that gives you a little more color.
Noel Parks - Ladenburg Thalmann & Co.: Great, thanks.
Operator: Thank you. Our next question is from the line of Nicholas Pope with JPMorgan. Please go ahead.
Nicholas Pope - JPMorgan: Good morning.
Tracy Krohn: Hi, Nick.
Nicholas Pope - JPMorgan: I was hoping, could you help me out in terms of like lease operating cost. I mean I was trying to get an idea of like how much of that cost is variable and how much is based on currents energy costs versus some of the fixed costs you have out there? Do you have a breakout of that?
Tracy Krohn: I do not have a breakdown of variable versus fixed. I would tell you that normally in the fourth quarter, your variability goes down because you are not doing platform maintenance, platform planning and that things. We try to get that done during this summer. So you will see a little lower variability with costs on random things from other operators. Similarly, you will see workover and whatnot decrease during the fourth quarter, again weather related. We tend to try to get work done in the summer. So, it is a little bit lumpy on costs, but I do not really do a fixed versus variable calculation on our LOE. We have guided the market here. We are telling that we expect LOEs to remain about the same in fourth quarter and some of that is driven by the fact that we are still assessing damage from the hurricanes and still doing work and whatnot that we are precipitated by the storms.
Nicholas Pope - JPMorgan: Okay. That makes sense. A little more about the opportunities you are looking at. I mean is there anything in particular that you are targeting? I mean, are you looking at more buying production reserves? Or are you looking at maybe reloading the inventory, and buying prospects. How do you all think about that?
Tracy Krohn: The answer is yes.
Nicholas Pope - JPMorgan: Okay.
Tracy Krohn: We are looking at both. This is a really good time for us. We took great care in 2007 and 2008 to harbor our cash, husband our cash, if you will, and put ourselves in a position of basically net debt of zero. That is going to be key for us going forward. Plus the fact we have very good liquidity with our credit lines of $0.5 billion undrawn, so it does give us the opportunity to go out and make acquisitions. It does not preclude us from making corporate acquisitions as well. That is also within the realm of possibility. It is not my preferred method, but it is a possibility. It is always more difficult to do that than it is straight acquisition. As far as drilling other wells, you will see that people that were overleveraged and they have had those issues going into a time of liquidity crisis, does not mean they do not have good prospects. It just means they do not have enough money to get them drilled and their expectations of promoting the wells and whatnot could come down. So it is just our properties that we are looking at, it is other peoples as well.
Nicholas Pope - JPMorgan: Is onshore potential in the realm of possibility?
Tracy Krohn: Well, yes, of course it is. It is just regular return. I have told the market for years, it does not really matter whether we are onshore or offshore. I mean you can drill and complete in 4000 feet of water in the Gulf of Mexico, you can probably drill and complete a well in Appalachia, if we needed to. It does not preclude us from going onshore. There may well be some good things to look at onshore or other basins or other parts of the world, but again it is a rate of return calculation that we think about and where we think we will get the best bang for our buck.
Nicholas Pope - JPMorgan: All right. Thanks a lot. That is all I have. Thanks Tracy.
Tracy Krohn: Thank you.
Operator: (Operator Instructions) We do have a follow-up from Phil McPherson. Please go ahead.
Phil McPherson - Global Hunter Securities: Hey Tracy. Just on the Daniel Boone, you talked about first production in the second half of '09, what capacity are you planning for that?
Tracy Krohn: No, I did not say first production. I said we may start the well second half of '09 the deep well. I am sorry, Daniel Boone, excuse me.
Phil McPherson - Global Hunter Securities: Would you comment on the capacity of the facility?
Tracy Krohn: Daniel Boone, yes. We have designed the facility for 10,000 barrels of oil a day.
Phil McPherson - Global Hunter Securities: Okay, great. Thanks.
Tracy Krohn: Hopefully that is the target that we will get to.
Phil McPherson - Global Hunter Securities: Okay, I appreciate. Thank you.
Tracy Krohn: Yes.
Operator: Okay, thank you. Management, there are no further questions at this time. Please continue with any closing comments.
Tracy Krohn: Okay. Well, I think that pretty much wraps it up, Operator.
Operator: Thank you ladies and gentlemen. This does conclude the W&T Offshore third quarter earnings conference call. If you would like to listen to a replay of today's conference in its entirety, you can do so by dialing 303-590-3000 and put the access code 11121166. Again, dial 303-590-3000 and put the access code 11121166. ACT would like to thank you very much for your participation. You may now disconnect. Have a very pleasant rest of your day.